Operator: Welcome and thank you for standing by. [Operator Instructions] Today's conference is being recorded. If you have any objections you may disconnect at this time. Now I'd like to turn the meeting over to Peter Poillon, Head of Investor Relations. Thank you. You may begin. 
Peter Poillon: Thank you, and welcome to our Second Quarter 2012 Earnings Conference Call and Webcast. Our call today is hosted by Joe Plumeri, Willis Group Holdings Chairman and Chief Executive Officer. A webcast replay of the call can be accessed through the Investor Relations section of our website at www.willis.com. If you have any questions after the call, my direct line is (212) 915-8084.
 As we begin our call, let me remind you that we may make certain statements relating to future results, which are forward-looking statements as that term is defined by the Private Securities Litigation Reform Act of 1995. Such statements are subject to certain risks and uncertainties that could cause actual results to differ materially from historical results or those estimated or anticipated. These statements reflect our opinions only as of today's date, and we undertake no obligation to revise or publicly update them in light of new information or future events.
 Please refer to our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2011, and subsequent filings, as well as our earnings press release for a more detailed discussion of the risk factors that may affect our results. Copies may be obtained from the SEC or by visiting the Investor Relations section of our website. Also, please note that certain financial measures we use on the call are expressed on a non-GAAP basis. Our GAAP results and GAAP to non-GAAP reconciliation can be found in our earnings press release. 
 I'll now turn the call over to Joe. 
Joseph Plumeri: Thank you. Good morning, welcome and thank you, everybody, for joining our call today. With me as usual is Mike Neborak, our Chief Financial Officer. Mike and I will make our regular remarks as usual, but this quarter I also want to do something a little bit different. In less than 2 years, our 3 main business units, North America, International and Global, each have new leaders, but leaders who have come up from post within our organization. You haven't heard a lot from them on these calls, so today, after I offer some introductory comments, I've asked Vic Krauze, Tim Wright and Steve Hearn to offer brief report on their businesses. And as usual, we'll be happy to answer questions at the conclusion of our prepared remarks. 
 You've obviously seen some of the other brokers' reports and our earnings already, the positive trends that they've talked about are very encouraging for the industry as a whole and we'll offer our own perspective on the industry environment in a few minutes. But as you saw our release last night, and compare it with those who've already reported, it's fair to wonder why Willis isn't in historical position at the head of the pack. Leading organic growth and leading margins has been the Willis way. I know it's on your mind and I want to address that up front. 
 While our top line shows modest 2% organic growth, there are several things offering compelling evidence of our strengths. Willis Global, for example, produced 7% organic growth and looking forward, robust sales pipelines increased recruitment of new producers and improved retention across our businesses we believe we'll provide revenue momentum in the future. And remember, as we've been telling you over the past few calls, a number of things have dragged on in our North America results, most with roots going back to our merger with HRH. These things have taken time to course through the system, which Rick will dissect in detail in a minute, but I think that this quarter represents sort of the end of all of those things that have to be flushed through. 
 Compounding that, what we see in the end of a difficult comparable guidance for North America has been a brief plateau this quarter for international. So all things can happen at the same time. And like our competitors, there's effect of the euro zone crisis. But Willis also had to put up subpar numbers for the U.K. and Australia, which also had an effect on our international numbers. We'll talk about that in a little bit as well. Both at the end of the -- or both are at the end of a restructuring process. Those international numbers are, we believe, an anomaly and not indicative of any trend. 
 So what you'll hear from me today, Vic, Steve, Tim and Mike, as an acknowledgment that despite our growth, we didn't come in as high as we wanted to this quarter. That said, you'll also hear a very upbeat assessment of what lies in store for the second half. Both for what our industry faces as a whole and for the many important things we're doing at Willis to regain our sector leadership position. 
 Now let me review the results with you. Our fully diluted adjusted earnings per share came in at $0.59. Excluding the $0.06 of positive foreign exchange, earnings were $0.53 per diluted share; that compares to a year ago quarter of $0.61 per diluted share, and obviously, that's not acceptable. Now before zeroing in on our bottom line numbers, we feel that our underlying earnings results are better than they appear at first glance relative to the prior year results. Now allow me to give you some of the background. 
 You've heard us talk over the last few quarters about Loan Protector. I love Loan Protector. I keep talking about Loan Protector. I told everybody here we're not going to talk about Loan Protector again and how its drop-off in performance created a difficult comparison with its results in the first half of 2011 and prior. This quarter, Loan Protector hurt our earnings by $0.01 relative to the year-ago quarter but this is the last quarter of the lopsided comparisons. Loan Protector is over. Vic's going to talk about that in a minute, I'm sure he's going to be glad to say the same thing here. 
 We also had a difficult comparison related to the fraud we uncovered and reported earlier in the year that happened in North America. That hurt our current quarter earnings by $0.01 relative to a year ago. So right off the bat, you got a couple of cents, and you got a couple of things that hurt top line growth as well. 
 Our second quarter results last year included $9 million of expense benefits from a release of funds in reserves related to potential legal liabilities. We talked about Bose in some detail a year ago. We did have $3.5 million of somewhat benefits in the quarter but that difference between the 2 equals $0.02 relative to the prior year. So you start to see a build up in what would have been versus what you see. Actually, and additionally, our Employee Benefits business in North America experienced some pressure on commissions that hurt the current quarter. But we should get contingent commissions in that business later this year or next year to make up for that, because as you know, insurers are charging or paying us less than they paid before, which is the whole reason we decided to accept contingents in the first place on that business. So that should catch up to itself. 
 And lastly, we had some notable pieces of business that we expect to shift from the second quarter to the second half of the year. They were quite notable. And they would have made a pretty decent difference in the top line growth that you see. But this is what happens on our business, but it's worth sharing with you so you know that revenue generation would have been better, but for some unfortunate timing, it's better than it appears. Both on a top line basis, as I'm explaining to you, and a bottom line basis as well. 
 In total, we have to take the results as they close. But as I mentioned, my colleagues and I feel good about the strength of our businesses and franchises and we are each excited about what we're doing going forward in the future to grow the business over the remainder of the year. 
 Before I turn it over to the team, let me provide some headlines. The commissions, as I said, and fees grew 2%. Our Global segment was again very strong at 7% organic growth led by great results from our reinsurance business that enjoyed low double-digit growth, just outstanding. In a few minutes, Steve will outline how he's making our high-performing businesses even more integrated and I think we'll be even higher performing in the future, which will drive that performance from Global. Steve has a lot to talk about just in terms of results and his vision for the business. So I would tell you what's going on in our Capital Markets business, which is also part of the Global segment. 
 Willis Capital Markets Advisory continues to gain traction and momentum in the insurance advisory and capital raising arena. During the second quarter, Willis Capital Markets Advisory and revenues were down a little bit on a comparable prior year, but you know that that's lumpy. It's a result of deals that we expected to close, again, slipping into the second half. However, the pipeline or backlog of transactions that WCMA is involved with is robust, and a lot of that activity will probably manifest itself in the second half. 
 In the International segment, the organic growth was at 2%. IT's very low. It's an anomaly for them. It's below its historic growth range. You should know that we believe this is more than an anomaly than a new trend and we believe that we're poised to do even better in the future. But we have to temper that with slow overall growth in continental Europe, partly with the result of euro zone issues, and our own efforts to turn around our U.K. and Australasia businesses, which will end up restructuring phases, so that has an effect on international as well, but everything being considered, we had excellent growth in Asia and Latin America. 
 Later, Tim's going to provide you with some insight into the areas where we're seeing improvement, including Willis U.K. As the year goes on, Willis U.K. gets better on a comparable basis and so does Australia. So, as I said, again another positive element in the second half. Tim will also tell you about the depth of our pipelines in the business and the initiatives that cause us to be excited about the growth opportunities in this segment. 
 In North America, excluding the impact of -- there it is again, Loan Protector, organic commissions and fees declined by 2% in the quarter and is down 1% over the first 6 months of this year relative to the first half of last year. While that's disappointing, for all of us here, regardless of the context, that business has a lot of positive things going on, including improved pipelines, the most -- the best pipelines I've seen since I've been here, a positive trend and producer headcount -- headcount is up -- and strong retention and solid new business trends. North America's retention is back to its historic levels in the low 90s despite covering business loss due to producer defections in the second quarter of 2011. That's a lagging indicator. So anything you see now is kind of at the tail end of what happened a year ago. And that might have had an effect as well on some of the North America numbers, both top and bottom line. But the reduction level is actually as a lagging indicator, as I said, and Vic will talk about some of the leading indicators that he monitors like pipelines and producer headcount, both looking far better today than they did at the beginning of this year and he'll tell you why that's the case. 
 With regard to group expenses, our group organic expense growth came in at 4.3% for the quarter and 3.3% for the first half of the year. Mike will provide an overview of our financials for the quarter and spend some time talking about expenses. 
 With that, I'm going to turn the call over to Vic, Steve and Tim, who will review this past quarter, and importantly, share insights into the initiatives that give us reason to be excited and optimistic as we look ahead. Vic? 
Victor Krauze: Thank you, Joe, and good morning, everybody. I want to begin by saying that everyone at Willis North America believes we can deliver a better top line than we saw in the second quarter. We are highly focused on producing better results for the second half of the year. First, I'd like to give you a brief overview of what drove these second quarter's results, and I'll spend some time talking about what we're doing to improve that going forward. 
 So now looking back, organic commissions and fees declined 3% in the second quarter. The decline was driven by several factors including, as Joe mentioned, the lopsided comparison in the Loan Protector business. This is the last time I expect to mention Loan Protector as going forward. It will no longer have a disproportionate impact on comparables quarter-over-quarter. So excluding the impact of Loan Protector, organic commissions and fees in North America declined 2%, a full percent less than we're reporting. Beyond Loan Protector, let me list a number of other factors that drove the decline in North America's organic revenues. First, as we've discussed in previous quarters, our Employee Benefits business, which accounts for almost a quarter of North America's revenues, has experienced some pressure on compensation structures from the healthcare insurers as being driven by healthcare reform in the United States. That compensation compression resulted in approximately 1% negative impact on North America's revenue growth in the second quarter relative to the second quarter last year. 
 But I also want to remind you that this pressure from healthcare insurers is why we said we'd take contingents on this line of business beginning in April of this year. Going forward, we should see some positive impact from contingents in late 2012 or early 2013. 
 Second, as Joe mentioned, our Employee Benefits results in the second quarter last year were affected by the fraudulent activity we discovered and disclosed. That business overstated revenue by about $2.4 million in that quarter, which regardless must be compared to in terms of revenue growth. That totals to about 3 quarters of 1% of North America revenue in comparison. 
 The final note is our one-off in surety revenues primarily construction-related. We're still not seeing a lot of construction projects as that industry has not yet recovered. That lack of projects caused almost 1% decline in revenues in the quarter relative to the prior year. So if you add up those 4 items, Loan Protector, for the last time, employee benefits compensation, the fraud we staffed and the one-offs, that accounts for more than 3% decline we're reporting. 
 On a positive note, North America's retention came in at 91% for the quarter, despite some accounts that left due to producer deflections last year. Our year-to-date retention's also at 91%. We're pleased to see that metric is back to our historical and expected levels, but we'd aspire to and believe we can do better. I'm going to address that detail in a few moments. 
 Also in the second quarter, we signed new business coming in at low double digits. That's good, but I think we can do better at that as our growing pipeline converts in new business. With regard to rates, we continue to see rate improvements in certain lines in geographic regions during the quarter. 
 On property, we're seeing average rate increases as of 8%, predominantly driven by catastrophe-exposed risks, non-cat is up 2% to 5%. I should note however, that we are seeing property rate starting to level as capacity is entered the market. In casualty, most insurers are seeing modest increases on renewal. We saw an average of 3% on casualty, which was driven mainly by worker's compensation. Liability rates were flat to up 2%. And then also for the first time this year, we're starting to see positive rate in our FINEX business, up 2% on average. Our Human Capital business, which encompasses Employee Benefits, is also seeing some rate increases. Again, the impact of that rate is tempered somewhat due to the carrier compensation modelships that we spoke about. 
 More broadly, the overall rate improvement we've seen so far in 2012, has not yet had a material impact on our revenue base. To the extended as help, it has been offset by reductions in exposure units and higher client risk retention levels. Shouldn't come as a surprise that, in this economic environment, the majority of our clients are simply not able or willing to absorb the increased cost of insurance and actively managing the expense and it's our job to help them manage that expense. 
 Across our industry practices, financial services, environmental, life sciences and real estate, they all did well for the quarter. Further, our M&A business had a very good quarter continuing their strong performance from Q1, while deal flow has not been as robust as last year. They are maintaining consistent new business. They were up in Q2 by 13% and up 15% through the first 6 months of the year. So while we expected this quarter to be challenging, we are not satisfied with how we ended up. So for the next few minutes, I'd like to discuss some of the initiatives that are ongoing in North America that lead me to believe that the future is brighter than this past quarter may indicate. 
 We are intently focused on 3 things that we believe will improve this business. They are simply: pipelines, recruiting, and retention. First, on pipelines. Since we bought HRH, we were totally focused on integrating the company even as the economic meltdown created turbulence around us. The first task was holding onto our people and keeping our existing accounts. Looking back, filling our pipelines with new opportunities took a backseat. That's all changed now. Since I assumed my post in early 2011, we have been relentless in returning the pipeline management with the sales force. As a result, our pipelines have improved dramatically in that period. Our rolling 12-month pipeline has improved from less than 1x our new business scoped over 2.5x. That gives us a lot more clarity on future revenues. My goal is to get pipelines at 3x by the end of the year. Since January, our pipelines have roughly doubled and they continue to grow, while these opportunities take time to convert and obviously, we won't win on 100% of our opportunities, I know it will translate into improvement in our already-good new business metric that I mentioned a few minutes ago. 
 Second, on recruiting. We are building a continuous sustainable recruiting program that attracts experienced recruiters -- producers to Willis. While that might seem basic, after the HRH transaction, a lot of our efforts were devoted to retaining the HRH producers that came to Willis with the transaction. The tide has now shifted. We're very pleased that, in 2012, our producer force is up slightly and my goal is to increase producer count 3% to 4% annually, while actively managing underperformers. In doing so, we'll manage overall growth and headcount to approximately flat to keep our SMB expense in check. So this will not be a recruiting spree by any means, but rather an extremely selective process in our search for experienced producers. 
 Third, with regard to retention. An important role to remember is that we do a good job in retaining our current clients. New business growth becomes much more impactful to our organic growth level. Our historic retention levels in North America have been in the 90% to 92% range. And we're pleased to be back at that level. But we aspire to be even better at around 95%. One key aspect of client retention is great service and I know we do a great job there, but equally important is associate retention. Insurance broking is a relationship business. If we keep our people, we keep our business. We're making great headway on that score by engaging producers in training and supporting them with what they need to grow. Our Sales 2.0 program is a great example of that. There should be no better working environment than at Willis. And while we still have work to do, we're making steady progress, which bodes well for future business growth. 
 And since I just brought up Sales 2.0, let me give you a brief update on that initiative as it's been rolled out throughout North America. To the first 6 months of this year, we've held over 1,500 Sales 2.0 meetings with clients and prospects and have converted over 10% of those meetings in our new business wins. That's a fair start to a program that I take very seriously and I expect it will continue to gain traction amongst our sales associates and drive increased revenue. We've trained over 2,500 of our associates in the 2.0 process and close to 600 producers are using that process as they interact with clients and prospects. 
 Like all companies, we are operating at a difficult environment, but I believe that if we maintain and execute on the focus we adopted last year, the improved pipelines, increased producer headcount and improved retention levels, they all will return us to delivering solid organic growth and improved margins. 
 With that, I will turn it over to Tim to discuss International. 
Timothy Wright: Thank you, Vic. Good morning, good afternoon or good evening, everyone. I'm delighted to have the opportunity to talk to you about our International segment, an exciting set of businesses with a wealth of potential for the Group. Since taking up the leadership of Willis International last October, I've made a point of visiting as many of our 40-plus countries in which we operate as possible. And I'm happy to report that our 6,000 Associates in the U.K., Continental Europe, Latin America and Asia-Pacific, Middle East, Africa, are doing a great job. Between them, they generate around $1 billion in annual revenues today and can generate a lot more through the series of actions I'll describe later. 
 While these actions cannot insulate us from the broader economic conditions, we believe that they can help capture opportunities even in the most turbulent markets. We reported 2% organic growth in the second quarter, down from International's historic levels of 4% to 6%. As Joe mentioned, the primary reasons for the lower than historic growth were the ongoing turnarounds in the U.K. and Australia plus the relative weakness in the euro zone. Together, these businesses account for half of our International revenues. 
 But with the geographic spread as large as ours, these negatives have been partially offset by strong performance in a number of our higher grossed markets. For the next few minutes, let me run through some of the notable developments in these Willis International countries. 
 The U.K. business, which accounts for almost 20% of our international revenues annually, has improved significantly from its weak showing in late 2011. Although organic growth declined below single digits during the quarter, the improvement was in line with my expectations of the business and reflects the hard work done by the U.K. team to address the operational issues noted in 2011. We have applied much greater client focus, which has manifested itself improved service metrics and business retention. Additionally, we had a major focus on sales, instilling one of the best sales management disciplines across the whole of International. Willis has always been a major player in the U.K. and the steps we've taken should ensure it remains so. 
 In Continental Europe, I'm happy to report that, despite the overall economic pressures across the region, we still managed to deliver low single-digit growth. Most countries in the region reported positive results. Including Germany, which was up low-double digits. Italy, up high-single digits and Denmark, up mid-single digits. Ireland was flat in the quarter. While Spain was down for the second quarter, its fabulous sales culture has allowed it to deliver low single-digit growth year-to-date. A tremendous achievement given the economic headwinds faced by that country. Eastern Europe, which is dominated by Russia, delivered somewhat slower mid-single-digit growth in the second quarter but has achieved strong double-digit growth on a year-to-date basis. Latin America grew high single digits. The stories in each country of the region are unique. There was steady growth in our Brazil and Argentina retail businesses as well as in our reinsurance businesses as across most countries. But some of these advances were offset by declines in Colombia and Venezuela. 
 Willis has a great business and a great future opportunity in Asia Pacific, Middle East, Africa. And Joe and I have made a point to visit the region and many of the countries in the first half of the year. It is also a region we have recently reorganized, which I'll talk about in a moment. Asia, continued to do well with high single-digit growth, driven by strong contributions from China, Korea and Hong Kong. Australia was flat compared with last year, which was a nice improvement compared with last quarter when we declined significantly. And finally, South Africa exhibited strong double-digit growth in the quarter, maintaining positive momentum from the first quarter. 
 Vic talked about retention in his remarks and we're as passionate about retention in International as he is in North America. Our retention remains healthy at 93%, about the same as last year. Likewise, new business generation was about the same as last year and rate was neither a head nor tail wind during the quarter. So with that backdrop, like Vic, I'd like to share with you some of the key actions we've implemented since I took responsibility for International last year. 
 We believe these should provide a strong foundation for the future. Firstly, we have sought to bring much greater structure, discipline and consistency to the way we manage the business. Under a new CFO and HR Director, we've established common reporting and management information, which provides us with much greater visibility over the business. 
 Secondly, like Vic, we've had a major focus on sales. Implementing segments, specific strategies, building our sales capacity and making selective investments hires. During the period in which I served as Group COO, we developed and delivered Sales 2.0 working with Vic's North American team. We have now deployed this model across an additional 16 international countries. Now like Vic, we've held over 1,500 Sales 2.0 meetings and also like Vic, we've seen more than 10% of those meetings convert into new business wins. More generally, our sales pipelines have improved significantly, increasing by almost 2/3 since the start of this year. 
 Thirdly, we recently announced a restructuring of our large and strategically important Asia-Pacific, Middle East, Africa region in order to reinforce our focus on growth. Roger Wilkinson, formerly Head of the overall region, is being relocated to become Executive Chairman of our Australasian region. Adam Garrard, formerly Head of Continental Europe, will ran our Asia business, a business he ran in its infancy from 2002 to 2005. And Scott Pickering runs our Middle East, Africa region based out of South Africa. 
 Finally, we know the power of delivering the whole of Willis to our clients and are connecting much more closely with our colleagues some elsewhere in the group, especially Steve's global businesses. A few examples would help illustrate this point. We're working hand-in-hand with Global on joint prospecting for both large accounts -- for large accounts in both Europe and Latin America. We've introduced new leadership in our reinsurance business in Latin America and we're building our construction and FINEX business in Asia and Australia. 
 To conclude on International, although we can't control the effects of the global economy, we're excited about the opportunities across the different businesses and believe that the actions that we've taken provide us with a strong basis for reducing historical growth levels in future. 
 I'll now turn it to Steve to discuss the Global segment. 
Steven Hearn: Thank you, Tim, and good morning, everyone. The comments Vic and Tim have all fit well with what we're doing in Willis Global as well. We spent a lot of time together with Joe and the other members of the operating committee and I echo their view that we're working as a tight unit to make Willis Group stronger and more unified to capitalize on the enormous opportunities available to us in the months and years ahead. 
 This morning, I want to focus on 3 items with regards to the Willis Global segment. Firstly, I want to report on yet another strong quarter for the businesses, which comprise Willis Global. Secondly, I want to update you on the strategic transformation work that I described during our Q1 earnings call. And thirdly, I want to update you on the progress we've made on the implementation of Will Place, our client-centric broking platform. 
 You may recall that there are 3 core operations within Willis Global. These are Willis Re, Global Specialties and Willis Faber & Dumas. Q2 was another strong quarter of strong growth in our global businesses with organic growth at 7% compared with the comparable quarter in 2011. This growth was led by our reinsurance operation Willis Re, which had another outstanding quarter with double-digit growth year on year. This growth resulted from both significant new business growth and some rate improvement in both Willis Re to International and North American business units. Willis Re continues to be one of the jewels in the crown of the group and I congratulate the leadership team and the associates in Willis Re for their continued high performance. Global specialty, as you will recall, is our specialty insurance operation with businesses including aerospace, marine, energy, construction, financial solutions and our financial lines business. This part of global group single digits during Q2. Many of these industry segments remain challenged by flat or even softening rate environments. And as such, I'm very pleased with the overall results here. 
 A number of the units in global specialty achieved double-digit growth in the quarter. Willis Faber & Dumas is our wholesale facultative and third-party facing group of businesses and the third core operation of Willis Global. WF&D declined by low single digits, but that was after a Q1 that showed low double-digit growth that benefited from some favorable timing of revenues. 
 For the first half, Willis Faber & Dumas achieved solid single mid-digit growth. So taken together, the second quarter, overall, represents another outstanding result for Willis Global. Like Vic and Tim, we're focused on the future and what we can do to produce even better results. So then, let's look forward and take a few minutes to look at our strategic transformation work. 
 Our Global businesses represented more than 40% of the group's EBIT in 2011. Many individual parts of Willis Global are industry and market leaders. Common to each of these businesses is a strong culture of innovation, technical ability, strong work ethic and deep industry knowledge -- all very important parts of the Willis Cause. Historically, the Global business has grown well was producing significant EBIT and high-quality income for the group. We announced in the first quarter a new vision for Willis Global with a new structure to enable the vision to be executed. We concluded that, despite our strong historic performance, we could grow even faster by creating a simple structure, which would enable our highly-successful businesses to come closer together. We feel this will bring sustainable benefit to each of our core stakeholders, our associates, our clients, our carriers, and of course, our shareholders. We're delighted to report we made huge progress in the last 3 months: we've launched the new vision and structure internally and externally. We're hugely encouraged by the response that we've had to this new strategy. We're now building a catalog of examples where we've already been able to drive benefit for our clients and ourselves through the work that's being done. 
 With an overview, we've simplified the structure of the Global segment by creating 3 clear parts of the Global. The first is Reinsurance, which now also includes Faculative. The second is Specialty, which combines Global Specialty and Willis Faber & Dumas and the third is Placement, which permits our clients to capitalize on the significant power of the over $40 billion of premium that we placed into the insurance marketplace. 
 Under this new structure for Willis Global, we've combine a number of our divisions into larger P&Ls and a smaller number of management teams.  This structure also enables us to work more closely with our colleagues in Willis North America and Willis International. Willis Global, as a whole, is now in a period of detailed business planning and the newly-formed teams. Our mission is simple. Exploiting the opportunities for growth with an even faster rate than we've achieved historically. Our intention is to have this work concluded by the beginning of Q4; we'll then be fully operational under our new structure with these new growth plans from the 1st of January 2013. 
 Willis Global has grown well for many years. Our intention is to turn it up a notch or 3 over the coming years. We all know the opportunity is there for us to exploit. Finally, I want to update you briefly on our progress on the implementation of Will Place. To remind you, Will Place is a unique application built by us to enable our associates to demonstrate to our clients and prospects optimum solutions in terms of market selection, coverage, price, security and other factors. Will Place is a worldwide enterprise for Willis, embracing Willis International, Willis North America and Willis Global. It's been eagerly welcomed across our businesses. 
 When we started this development in late 2010 through a successful pilot in Willis Italy, we're delighted to report we've now trained thousands of our associates around the world on this new technology, its purpose and its benefit for our clients. We're now operational with Will Place in all of our largest volume territories and more than 14,000 placements have been made using this new process. The algorithms that are at the heart of Will Place technology are powered by client preference and a view of the carriers appetite for the client's business and by data that supports the choice of 1 particular carrier over another. This is clever stuff, unique in its client-centric approach and very powerful indeed. Based on our close evaluation of all of the competing approaches, we'd rather have Will Place than any other platform that serves Willis, and more importantly, our clients the best. 
 Our team's done a tremendous job here, both the people in central placement team and the insurance professionals in our retail and global businesses. Willis has a very strong and uniquely-collaborative culture. Will Place is Willis at its best. You can tell I remain excited about our opportunities, and again, I know I speak on behalf of the entire team in Global and saying we're very optimistic about our future. 
 With that, I'll hand over to Mike Neborak to discuss our financial results. 
Michael Neborak: Thank you, Steve, and hello, everyone. Have you heard? We've made substantial progress building our business in Q2. Key areas of focus remain expense management, infrastructure investments and allocating capital as highlighted by repurchasing shares and reducing debt during the quarter. In reviewing the numbers, all comparisons are the Q2 2011, unless otherwise noted. All references to adjusted figures exclude those items that we disclosed in the supplemental financial information in our press release. 
 Adjusted net income from continuing operations was $104 million or $0.59 per diluted share. That compares to $107 million or $0.61 per diluted share in the second quarter 2011. As noted in our press release, foreign currency fluctuations positively impacted our results by $0.06 per share. To get a bit more granular on FX, the P&L benefit had 2 components. First, we recorded foreign currency translation adjustment to both our revenues and expenses for the period. Since many of the currencies in which we do business weakened against the dollar, this resulted in a $24 million reduction of our revenues. It also resulted in an $18 million reduction in expenses for the period, recorded as a $14 million reduction in salaries and benefits, and a $4 million reduction in other operating expenses. So the translation component is opening a net $6 million negative impact to our pretax earnings. 
 Second, we recorded foreign exchange in the amount of $19 million as a reduction to other operating expenses from revaluing assets and liabilities denominated in non-functional currencies. That result was primarily driven by the revaluation of pounds sterling denominated net liabilities in our London market operations. In total, foreign exchange reduced revenue by $24 million and reduced operating expenses by $37 million, producing the $0.06 per share benefit. 
 Now let me turn to expenses. Total reported operating expenses were down $42 million or 6% from $705 million in the second quarter of 2011 to $663 million. On an adjusted basis, total operating expenses decreased by $8 million from $676 million to $668 million or approximately 1%. When the $37 million benefit from foreign exchange is excluded, our adjusted operating expenses grew $29 million or 4.3%. If you exclude the impact of lower expense credits in the second quarter of 2012 versus second quarter 2011, expense growth was 3.5%. On a year-to-date basis, adjusted operating expenses grew 3.3% excluding foreign exchange. 
 Now let me talk a little bit about the component pieces. First, adjusted salaries and benefits were up 1% or $5 million from $495 million to $500 million in the quarter. Once again, excluding the $14 million positive impact from foreign exchange, underlying growth was $19 million or 3.8%. The largest driver of salaries and benefit growth was increased amortization expense related to cash retention awards, which grew $10 million from $44 million in the year-ago quarter to $54 million in the current quarter. In addition, annual salary increases, which take effect in the second quarter, and as we discussed last quarter, the investment in new hires throughout the second half of 2011 impacted the year-over-year comparisons. Year-to-date, adjusted salaries and benefits grew 2.9% excluding foreign exchange. 
 The second piece, other operating expenses on an adjusted basis were down $12 million or 8.2% in the quarter from $146 million to $134 million. Excluding the $23 million favorable impact from foreign exchange, other operating expenses grew by $11 million or 7.5%. Approximately 1/2 of that growth was due to a year-over-year decrease in expense credits derived from the release of funds and reserves related to potentially legal liabilities. In the second quarter of 2012, we recorded $3.5 million expense benefit compared to a $9 million benefit taken in the second quarter last year. 
 In addition, as we have discussed in previous quarters, we continue to invest in technology and systems, which also impacted year-over-year comparisons. Year-to-date, adjusted other operating expenses grew 4.9%, excluding foreign exchange. As you know, operating margins are a key measure of performance and tracked very closely by management. In Q2, our adjusted operating margin contracted 80 basis points from 21.5% to 20.7%. Excluding foreign exchange, our adjusted operating margin declined 290 basis points to 18.6%. Several factors impacted this result. 35 basis points from lower investment income, 65 basis points from the difference in expense credits and 35 basis points from the impact of Loan Protector. And the remainder, approximately 155 basis points from adjusted expense growth proceeding revenue growth. 
 Turning to tax. On an adjusted basis, income tax expense for the quarter was $34 million, resulting in an income tax rate of 24.1% compared to 24.5% in the year-ago quarter. We continue to expect the 2012 effective tax rate to be between 24% and 25%. 
 Now let me discuss the associate's line, which is outside of our operating numbers. As you know, the associate's line consists primarily of our share of the after-tax earnings from Gras Savoye, France's leading broker. For the quarter, that line recorded a loss equal to $1 million versus a loss of $3 million in the year-ago period. Most of our income from this line is booked in Q1 and is driven by the seasonality in Gras Savoye's business. Like many businesses located in the euro zone, Gras Savoye's operations are being pressured by the economy. In addition, Gras Savoye recently appointed a new CEO and is undergoing a business review that is designed to drive growth in revenues and operational efficiencies. As a result of these 2 factors, we expect the Associates line for full year 2012 to be down $6 million to $7 million versus 2011. 
 More specifically in the third quarter, we expect the Associates line to be a loss of $1 million to $2 million; in Q4 we expect the line to show a loss of $5 million to $6 million. While these are our best estimates, keep in mind that we do not control the numbers produced by our Associates. However, we recognized that many of you model our Associate's result using prior-year amounts as the base, so we thought it necessary to inform you of these developments. On our balance sheet, total debt outstanding at the end of the quarter was approximately $2.4 billion and our debt to adjusted EBITDA ratio was approximately 2.7x. During the quarter, we generated approximately $100 million in cash from operations, capital expenditures totaled $27 million, we repaid $35 million of our revolver leaving a balance outstanding of $50 million, and we purchased more than 1 million shares of stock for a total price of approximately $37 million. On June 30, cash and cash equivalents amounted to $407 million; that compares to $436 million at June 30. 
 With that, I'll turn it back to Joe. 
Joseph Plumeri: Thank you very much, Michael. I know this call is running late, we started late because we wanted to make sure as many people that could be on, would be on. And I'll just finish with a couple of comments. The first half of the year is behind us. And as you probably heard, each of the segment had discussed their businesses and some of the issues we faced this year and we're very confident that because the first half of the year is over that a lot of things go away and many things show up in second half. Importantly, I hope you have an appreciation as to why we're optimistic about the second half of 2012. Loan Protector, that comparison is behind us, thank goodness. And last year's fraudulent activity, that we talked about has just one more quarter to go in terms of difficult comparisons and that goes away. But this company's not watching in a rearview mirror. It's all about the road ahead and about doing everything we can to drive revenue growth and expand margins in a continuing difficult global economy. We spent the first half of this year relentlessly executing our revenue initiatives with great emphasis on building pipelines. Sales 2.0 and Will Place are starting to kick in, as you heard, and we believe our pipelines are primed and expected they should benefit our top line going forward. 
 As Vic mentioned earlier, our producer headcount in North America is finally on the upswing after years of playing defense against defections. Retention is back up, and that, combined with those filling pipelines, should mean more revenue. Tim and Steve are in the process of reorganizing their businesses in order to optimize top and bottom lines. We're already seeing good flow of transactions across our businesses, including a few large deals that I said earlier we expected we're closing the second quarter, but we're pushed into the second half of this year. And we will continue to manage our expense growth as you come to expect us from us here at Willis, where the revenues exceed the expenses, which did not happen in the second quarter, which is the reason why most of decline on the margin took place. I'll end it there with the hope that you can sense that the excitement that we feel going forward into the second half of this year is real. 
 Thank you very much and we'll take questions at this point. 
Operator: [Operator Instructions] Keith Walsh, Citi. 
Keith Walsh: Quickly for Vic, a couple, and then I've got something for Tim. So Vic, in EB, the contingents, will they completely make up for the commission squeeze we're seeing on revenues and earnings? 
Victor Krauze: It's hard to predict that exactly because we haven't received any of them yet. We've also just started implementing those contracts for April -- in April as opposed to for the full year, but I expect that in the long haul, they will replace it. 
Joseph Plumeri: In think that and the fact that you'll have better revenue growth in the second half because of our EB platform. So the combination of growth, better growth in EB and the reception of the contingents together, Keith, I think will make for a better outcome. 
Dan Farrell: And then secondly for Vic, even if we adjust for the items you mentioned in North America, you're still lagging the peers there. And I appreciate the clarity around the initiatives, around pipeline, retention, and recruiting. But we're 4 years post-HRH, why are we talking about this now and not a couple of years ago? 
Victor Krauze: Well, all I can tell you, Keith, is from when I stepped into the job, I have to take a look at the basics of the business. It's, in my mind, not a very complex business, and you have to focus on pipelines, you have to focus on growing producers, and you have to focus on retention. I can't really comment on my competitors, but I know what it takes to get this business growing and that's what I'm focused on. 
Joseph Plumeri: I'll make additional comment, Keith. When we did the HRH transaction, we did it the worst possible time we could do it and people forget that. We closed that deal in October 2008. The timing couldn't be worse. It was a good deal to do it, timing couldn't be worse. We bought a company that had 280 different -- before, 280 acquisitions were all disparate. And to integrate all of those offices and to make one company at a time when interest, when the economy was bad, when the markets were terrible, the credit markets were closed, and obviously, rates were very, very soft, and to do all of that at the same time and create a culture is difficult. So you're not going to spend time with new accounts and pipelines, you're going to spend time keeping people, changing systems, integrating cultures, that takes long in itself, and then you throw the economic conditions on top of that in the U.S. just simply took longer. So instead of concentrating on pipelines, you're concentrating on holding onto accounts, people that left, people weren't making as much money, other people who are trying to get them by giving them more money and guaranteeing them deals over a period of time. I mean, all of this stuff we have fought, and I would tell you that at this stage of the game, halfway point to 2012, even though it's 4 years later and even though it's taken a lot of time and a lot of frustration, I think most of that's over. When you have the deal like the fraud that took place in Chicago that we talked about, we needed like a hole in that. But those things happen and you fight through it and you got to separate structural systemic problems from issues that occurred because of what happened with HRH, what happens in the economy and the things that we've been through. And I think we're through all that. So the question about why all of that now had to do with what you were doing at the time to make sure that the business was right, it was being downsized, things we're merged, offices were integrated, we integrated on over 60 offices in the U.S., which was a chore in itself. But that is all behind us and I think we're ready for growth. If you add up all the things that Vic talked about, which is we have one lost account, which probably caused us 1 point. We had the EB issues would probably cost us another point. You had EB fraud, Loan Protector and all of those things. When you start to add it up, you're in positive ground. And when that stuff goes away, which most of it will go away, we got one more quarter of the fraud in Chicago, you're going to start to see the growth that we expected to see all along. It just happened to start late because we were playing different game than everybody else. So if you compare us to the others, I don't think it's a suitable comparison because they didn't go through where we went through. But that's the way the game is played. We made the deal, I'm glad we made it now, we got a great platform in the U.S., it just took a little bit longer. 
Keith Walsh: Okay. And just for Tim on International. I mean, Joe mentioned in his script, the 2% growth is an anomaly, I believe you said so. Specifically speaking about the U.K. and Continental Europe, if you could walk us through the math on how you improve. Currently, you got good retention, it sounds like instable new business, how do you improve on that to offset what is likely shrinking exposures and flat at best pricing we're probably going to see in that part of the world in 2013? 
Timothy Wright: Keith, a few things. And the story is different by country. As you know, the U.K. business is in turnaround. We reported in the fourth quarter of last year a 16% decline in that business, and that is being cut substantially to low single-digits in the current quarter. And we expect that turnaround momentum to continue. So the math on that, that's a big business, Keith. That's almost 20% of international. Just being flat in that business has a positive impact on our earnings and we're not going to be satisfied; in fact, we want to grow that business in the future. In terms of Continental Europe, again, it's a mixed story by different parts of the region. In Northern Europe, we've actually seen pretty good growth in a number of markets. In Southern Europe, as you know, those are the economies, Spain and Italy that have borne the brunt of the euro zone crisis. We're fortunate in that -- we're not going to be immune to that, but we're fortunate that we have strong management there who leverage the full capabilities of the group, have a strong sales culture, follow their clients around the world. And they're able to grow, maybe a little bit more modestly, but grow despite the environment. And of course there's Central Eastern Europe, which has provided a lot of growth. So the math, Keith, to have improved growth in this region is a combination of turning around performance in the U.K. and share gain in the other European markets on the back of our sales initiatives and sales pipelines. 
Joseph Plumeri: I think you'll see, relative to what Tim just said, I think you'll see and we're looking at in terms of our numbers, were looking at probably a restoration in the second half to what the numbers that we've usually put up in International return, Keith. 
Operator: Our next question comes from Cliff Gallant, KBW. 
Cliff Gallant: This might be a simple question but I just want to understand the pipeline discussion. How do you define what a pipeline is? Like you say it's doubled year-to-date, how did that come about, what drove the increase? 
Joseph Plumeri: Well, we track pipelines very, very heavily in the company. We've always tracked them, I think, remarkably closely on a week-to-week basis. And basically, what we believe is, is we look at our business plans and we say how much new business has to be done to reach certain levels of revenue activity. And then what we say is that we take 30% or so that we need to convert a prospect to one account. So the coverage in our pipelines, you'll have to be robust at least to the tune of 2x or 3x that which we actually need to be able to generate the business that we want to generate. So what we're saying is, is that one time would be kind of close to the best, 2x gives us enough coverage. So you heard Vic talked about approaching 3x by the end of the year. I would say that the company's in the 2x to 2.5x range. Vic's made a point of the fact that it's a big deal now. Simply, Vic, because they got time getting new business rather than holding on the business, which is the point that he was trying to make. So this is something we're very excited about. And so when you see, it's like how many ships are going to come in, tell many how you many ships you sent out. And I'm telling in our case, these pipelines look very, very good, so it gives us a greater sense of predictability as it relates to the future, Cliff. 
Operator: Adam Klauber, William Blair. 
Adam Klauber: On comp expenses, can you give us any visibility what the amortization of a word should be next year? It seems like the growth is over 20% this year. Are we looking at flat next year or is it still going to be growing next year? 
Michael Neborak: It's going to grow next year, but at a lower rate than it's growing this year. So I think in the past, Adam, I mentioned that the year-over-year increase, that meaning the increase 2012 versus 2011 was going to be somewhere around $35 million. And I said next year, it will still grow but at a much lower rate. So I also mentioned they'll probably be in the low $20 million to $25 million in terms of a growth. So down from $35 million growth to $20 million, $25 million growth. 
Joseph Plumeri: So what you're seeing is as you remember it was $65 million last year, $35 million this year and he's telling you that it's in the 20-ish range. So every year's going to be growing less. So you're picking up $15 million or whatever the case may be, which is also all going to auger well with regard to our numbers next year and look pretty confident that, that's the number. Again another example of as the world continues to go on for Willis, the numbers get better. 
Adam Klauber: Okay. And then how did capital markets do this quarter? Was it added to -- was it additional to growth? 
Joseph Plumeri: The capital markets did great. The problem is, is that the deals that they did great with didn't hit. As I said in my commentary, we have a high expectation that there'll be a lot of activity in the second half that will result in, I think, in a considerable amount of business. I just can't tell you how much. It's very lumpy. We have no control over these things closing, but I can tell you that they're in the stage, stages of closing. In one case, one deal was 2 days into the quarter. I just can't announced what that was, but I can tell you that the second half should be pretty bountiful, frankly. And I know that that's a big word. 
Adam Klauber: Okay, that's helpful. Also on North America, did I hear right where there also some deals in North America that got pushed in the second half or was that mainly in the global business? 
Joseph Plumeri: Now that was mainly in the global business since Steve mentioned that. 
Adam Klauber: Okay, okay. And then finally, how much -- it's good to see some buybacks, could you give us an idea how much cash you have available for buybacks in the second half of the year? 
Michael Neborak: Well, our cash balance as I mentioned at the end of June was a little bit more than $400 million. Not a lot of that cash is available in terms of like for general corporate purposes, we have it in various entities that are regulated or we need to keep cash. So I'd say on the balance sheet right now, there's probably about $30 million to $50 million that I'd call available for general corporate purposes. 
Operator: We have a question from Greg Locraft, Morgan Stanley. 
Gregory Locraft: Just wanted to get an update on the CEO succession plan. 
Joseph Plumeri: Was that me? 
Gregory Locraft: Yes. 
Joseph Plumeri: You could refer to me as something like Joe or something. 
Gregory Locraft: Are you staying or you're going? And what's the plan and what's the timing around it all? 
Joseph Plumeri: As I said before, the succession planning process continues, the board is obviously concentrating on that. Everybody knows my contract is up next July. I'm concentrating on this business, which you can hear, I hope you can hear in my voice is, I think, going to be very, very exciting going forward. And they're worried about succession and I'm worried about running this business every day. I'm going to eliminate the word worry. I'm excited about running the business every day and seeing the clarity get better and better and better. 
Gregory Locraft: Okay. In terms of timing though, how do you -- and I know you can't speak for necessarily for the board, but how does -- I mean, it's a big job, there's a lot going on at the corporation, when do you guys kind of put this in place and so everyone can kind of move on and know what's happening? 
Joseph Plumeri: I obviously can't answer that. But you'll get -- as soon as I know, you'll know. How's that? And everybody will know at the same time. But it's something obviously, that the board is working on and I mean it. The succession planning, when you get somebody that's been around as long as I have, you take very seriously, you start, you go through a big process and I let them do that, and we're doing this. And hopefully, you get a sense that what we're doing here is exciting. I think it is exciting. I think that the worst is over. A lot of stuff that we had to trudge our way through is almost behind us except for a couple of things in the third quarter, which should not affect the third quarter in a big way. I think all that stuff is behind us. But I can't tell you anything more than that. I mean, it'll happen, it'll happen. And we'll let you know, obviously. 
Gregory Locraft: Great, no, I totally appreciate that. One other one totally different. It's just from your level, Joe, sort of what is the minimum organic growth rate you need to drive operating margin improvement in the business? 
Joseph Plumeri: I think it's obviously, higher than what it is now. And the 2% is not acceptable. What we've tried to do very hard is to give you a sense of all of the things that aren't in there, that if you added them back in, what you would get is more than 2%. And that -- by virtue of that, we think we would cover our expenses very well. So without telling you that, I've tried to give you examples of, if you added 1% more back for this and 1% more back for that and 1% more back to that and then what didn't hit in capital markets, et cetera, et cetera, you're not 2% anymore, you're up there pretty good where we think your level where our expenses are covered. 
Gregory Locraft: And then I guess you may dodge this one, but when do you think we're going to get that? I understand you... 
Joseph Plumeri: I am so pissed, come on. 
Operator: Dan Farrell, Sterne Agee. 
Dan Farrell: In your prepared remarks on the segment discussion, you've obviously focused a lot on revenue and pipeline, but there's been less focus on costs. To what extent do you think the margin pressure in your view, is it more of a revenue issue or a cost issue? I mean, I can certainly understand the negative organic pressures in North America, but you've had some positive organic international and those markets have decline in a greater pace. And then could you also talk a little bit about some of the cost issues? 
Joseph Plumeri: Yes, I think it's a revenue issue. I don't think we have a cost issue. I think we do cost pretty well in this place, we always have. That's been one of the things that people have always suggested that we do very well. I think that it's simply a revenue issue. When you have International at 2% when it's usually 6% or 7%, that doesn't help margins, and if you listened and you guide North America, at minus 2% or 3%, depending upon that word again, Loan Protector, that's going to be positive one day, because that's going to go away. And I think the global will continue to grow and continue to be strong if you heard what Steve had to say. So I think it's more of a revenue issue, which you're going to start to see coming to the fore like it used to in the past. So I don't think it's a cost issue at all, that's why we didn't spend a lot of time talking about it. I think we've been very judicious about our cost, the issue is revenue. And when you're generating 2% revenue in a quarter, maybe for all the reasons we mentioned, but it is 2%, that's got to improve and we believe it will, that's the reason why we spend so much time trying to give you some comfort around the fact that we're concentrating on that. If you'll look at the margin that Mike went through, 150 basis points of the margin decline came from the fact that the revenue was less than the expense. And not because we spent too much, because you got 2% revenue growth. You're not going to do wonderful things. That's the issue, which we think and hopefully you've heard in our voices, we think will change. 
Operator: Thomas Mitchell from Miller Tabak. 
Thomas Mitchell: Along with the issue of succession at the top, there's been a tremendous amount of change in your cadre of executives in recent periods. And this of course, it's sort of a double-barreled issue. On the one hand, it presents us, those of us who follow you, with a picture of, okay, there's change and the change is presumably valuable and important. But on the other hand, it also raises the issue of what was wrong before. And especially, when we're talking about how your performance rates against other insurance brokers, the question comes up of whether or not you are treating as extraordinary issues that would be more considered in a part of the way that you run a business year end and year out. How do you respond to that? 
Joseph Plumeri: I'd be glad to respond to it. First of all, you heard from the people who run our businesses. And you could hear, hopefully, you could hear, they're very articulate, they know what they're doing, they might be around here a long time. Vic's been around here for over 12 years. Steve's been around here since the HRH acquisition 4 years ago and has run reinsurance and run Glenn Karent [ph] before that, and now runs the global businesses. These are not neophytes. Tim's been around for more than, if I count the times that he was here helping us on a consultancy basis, has been here a long time. These are seasoned executives, so that we're not filling these holds with people who don't know what they're doing, that's number one. Number two, we had, and I could really appreciate that if I were you, and I'm sitting on the other side and I'm looking at some of the difficulties Willis has had, and then I see people leaving, it doesn't feel right, it feels like something's wrong in the place. And I'm saying to myself and I say to my colleagues, these people think there's something wrong. The fact of the matter is that there's nothing wrong structurally or systemically. We simply had 3 people that left, 4 people actually, 3 of whom, let's put it this way, we left on a mutual basis, 1 decided to go pursue something else, and that was Grahame Millwater after 26 years of being here, and the other was mutual and I don't want to give into that. But it wasn't because that caused any structural or systemic problem or there was any issue in the company or there was a revolution or there was any of those things, but I could understand how it would appear that way on the outside when you couple the results and you couple people leaving, you'll say that's a shift that really bothers me, that might be going in a direction we don't want. That is not the case. That would be a big mistake to assume that. 
Thomas Mitchell: Okay, I can accept that. I think that's interesting. I really appreciate your laying that out. The other question I have is totally unrelated, but it was almost a year ago I think that you discussed going after more of the big international multinational corporate business and Martin Sullivan's responsibilities to that. Haven't heard anything lately in the last couple of quarters about that. How is that going and is that still really on the front burner? 
Joseph Plumeri: Not only is it, I think, is it going well, but I will allow you to speak to Martin Sullivan himself. Martin? 
Martin Sullivan: Thanks very much, Joe, and good morning. In fact it was hard to believe it was actually close to the 2 years ago that Joe announced the initiative, and I'm pleased to report that we've got very good momentum. We're very focused, we're very disciplined and expand in the penetration into the Global 1220 as we've defined it, which is the segment of client success of $7 billion in revenues. I think we've got an outstanding value proposition and we're delivering that across the organization in various geographies. And just to give you some indication, I think in a previous call, we gave some information out that we've touched about 27% of the Global 1220 2 years ago. We're now up to close to 40% penetration into that segment. I.e., that means we have a share of wallet of approximately 40% of the Global 1220. So as Joe said, it's going well. The great thing, the most exciting thing is the size of the opportunity out there. Just so we remain very disciplined in our targeting and our marketing to those clients and prospects. 
Operator: Matthew Heimermann, JPMC. 
Matthew Heimermann: Question for you. Just when you're talking about some of the things that dragged on 2Q this year, are you telling us that we should feel, whatever our view was for the second half, we should feel comfortable on that view, or we actually if some of those things hit, should be feeling better about? Like actually potentially thinking that things could be better than we were thinking about originally? 
Joseph Plumeri: For every, that's a tough answer because I don't know how each individual of you feel. Everybody has different aspirations. You've got different estimates for the second half. All I can tell you is how we feel. And hopefully, I've expressed how we feel and we feel very good. We've experienced stuff that I've never experienced in 45 years, to be honest with you. But I'm a fighter like everybody else, and you go through those patches, you go through slumps. And it's the people who dust themselves off and get back in the game, and I hope you're getting a sense that we've gotten back in the game and we're in the game in a big way. And the second half is going to be better. Relative to what each individual of you think better is, I can't tell you that because I can't give you a single answer against what each individual might feel. You're going to have to figure that out for yourself. But what you're getting is we feel like the second half is going to be better. 
Matthew Heimermann: Then just on Will Place, can you give us a sense of maybe the kind of the key things that Will Place that are a little bit different than some of the other things, some of your competitors on? And kind of what, why those differences or how those differences make the platform appealing to customers? 
Joseph Plumeri: Thanks for that question, because that is a great question, and Steve Hearn's going to answer it. 
Steven Hearn: Thanks, Joe. Yes, it is a great question. We're obviously familiar with our competitors' platforms and how they've approached this. We started with a client and it's a very, as I said, in the words I delivered earlier, it's a very client-centric system. So as part of the sales process in our Retail business and I don't know what our Global business is, is we engage with the client, we understand what their appetite and tolerance is for various factors around security, risk, pricing, the quality of the capacity that's provided, et cetera. So there's an engagement with the client directly in putting their appetite in terms of those types of characteristics within the system. The system then through its algorithms, looks at our global marketplace in terms of the carriers and their appetite to write certain risks either in byproduct class, geography and their appetite in terms of engaging with our client base. So it's very, very client centric. Other systems, without being too specific, are driven, I believe, by the desire of the organizations that have built them rather than being necessarily client centric. And that's the key differentiator. And I think that's recognized and recognized by the marketplace with which we trade. 
Matthew Heimermann: And then so is this effectively what it does for -- if I'm a broker working out Willis, it allows me to be more efficient because I might go to with a particular client? If I'm in North America, and 1 client can fill the -- 1 underwriter can get, is all I need to place the business, I can get down to the 2 or 3 that are most necessary. And if I'm in London, putting a wholesale slip together and I need 5 to 10 carriers, I'm not going to waste time because it's going to call the list down to where I'm likely to get hits and everything that's going to fit together. Is that the right way from an internal perspective way to think about it? 
Steven Hearn: Yes, yes. It's actually a very good description of it. Absolutely, there are efficiency gains which we can get out of our broking activity as well, but it is absolutely about matching the right carrier with the right clients. And that takes out some efficiency, and there's all sorts of benefits out of that. Economic, certainly compliance in terms of making sure we've got the right proposition in front of the right customer, all sorts of benefits. But your description's accurate. 
Matthew Heimermann: Okay. And then is this something that potentially could electronically, effectively bind business as well or is that on potential easy-standard policy type things or is that far in the future? 
Steven Hearn: Yes, I think no. It doesn't do that at the moment. I wouldn't want to mislead you obviously, but not do that at the moment. Yes, so I think probably if you envision further down the track in a couple of years time, we've got simplistic transactions where we have facilities in place, where the transaction is simple, absolutely. The moment we'll place hits on top of the core accounting and settlement transactional systems. So there's a way to go, I think, before we'd be in that position. But yes, absolutely part of our vision for the future. 
Operator: Jay Cohen, Bank of America Merrill Lynch. 
Jay Cohen: Maybe just one quick follow-up on the last question on Will Place. Is there a big investment to be made in Will Place? Will that have at least some of the dragging effect on the earnings at all? 
Steven Hearn: Shall I take that, Joe? 
Joseph Plumeri: Yes. 
Steven Hearn: The fundamental investments already been made, actually. As I said earlier, we've now rolled this out in all of our key volume territories, the technologies in place in those operations. It's capitalized cost in many respects and the big investment's done. I mean, you've got that reflected in our numbers. 
Joseph Plumeri: If you're asking, is there more big expense to come to fill this out? The answer is no. Whatever expense is going to come from Will Place is actually going to be in the rollout and implementation phase which is nothing compared to the technology in building the algorithms, Jay, that went into that. I might also add that's really unique about this, that it's also coupled with the Willis Quality Index, which gives us the ability to show our clients what quality measures we've given each carrier in various categories of measure of service. So the quality index is part of selling to the client. This is the best match for you, and you ought to know this is how we scored the carriers against each kind of category like service, claims, paying, how quick they send out the contracts and things of that nature and policy. So it is different than everybody else and this is just something that will be full bloom and manifest itself certainly in the second half of the year and certainly next year. 
Jay Cohen: And then the other question I had was on the global segment, it sounds like there's some -- your potentially some decent-sized transactions that will come in in the third quarter. Just looking at my model, it looks like last year, third quarter, you had some pretty sizable one-time benefits in the Global segment, I think in reinsurance. And I'm just wondering, just for modeling purposes, how though is that comparison in the third quarter? 
Steven Hearn: Yes, we did some work last year in terms of profitability around reinsurance relationship dividend which, as you say, had some benefit in Q3. The track on our reinsurance business, as you've seeing yet again, continues to perform very well. And as I said earlier, born out of new business and some REIT, also good retention and that we expect that momentum to be continued through Q3 and Q4. So I don't see that being an issue for us in Q3. 
Operator: Our next question comes from Brett Huff, Stephens Inc. 
Brett Huff: One quick question, you mentioned that these couple of deals that had slipped, is the expectation that those will be a 3Q or 4Q event or have -- is there news on any of them closing? Any other specific timing color on those? 
Joseph Plumeri: Definitely by the end of the year. 
Brett Huff: Okay. And then on the retention, amortization going up, what kind of metrics have you all seen as it relates to that? The benefits that you've seen from that, how are you kind of measuring the return on that sort of expanded bonus pool? 
Joseph Plumeri: Well, if you're asking, a, it's going up. But as I said earlier, and Mike said earlier, it's going up at a lesser pace, at a lesser rate. So it will cost us less next year. If you're asking has this method of paying people, retained them, because it's called the retention award, I think the answer is yes. There are a lot of people, I can't give you a metric, all I know is that our turnover is low, it's in the low double digits, the 12% to 10% range, which as you know, pretty low for a large corporation, but we've never done a survey to find out whether or not the retention award has kept people here. But our sense is, that if you look at the numbers, that it has. 
Operator: Our next question comes from Meyer Shields, Stifel, Nicolaus. 
Meyer Shields: How much were the fraud revenues in the third quarter of 2011? 
Joseph Plumeri: Say it again, please, I'm sorry. 
Meyer Shields: The fraudulent revenues in 2011, just for modeling, how much was that? In, sorry, the third quarter of 2011? 
Joseph Plumeri: I'm sorry, I didn't hear the first part. 
Meyer Shields: Okay, the revenues associated with the fraud in Chicago that you said will post a little bit of a drag to revenues in the third quarter of this year, I'm just trying to get a sense of the number. 
Joseph Plumeri: No. It was $4 million in the second quarter. 
Meyer Shields: And third? 
Joseph Plumeri: Third quarter, it should be about the same. And then it's over. 
Meyer Shields: When you talked about the contingence and employee benefits, are those predicated on growth or profitability? 
Joseph Plumeri: Grab the... 
Victor Krauze: This is Vic. Those are going to be based on predominantly growth, but some of them may have profitability components. Every one of those contracts is negotiated individually state-by-state because that's the nature of that business. So there's going to be a variety of different ways we achieve those. 
Meyer Shields: And last question I guess for Steve. If I ascribe to the series that it's the number of insurance companies that are fighting for share that impact pricing, are the -- Steve, the pipeline for capital markets transaction is something that you think will shift the marketplace? 
Joseph Plumeri: I guess I can answer that question. I can only tell you that from a capital markets point of view, I have never seen the pipeline be as robust as it is today. And mainly in M&A activity. I'd say almost exclusively M&A activity. We're doing a lot of cap bonds, cap bonds have picked up, as you know, a lot. If you want to hear about that, Steve can talk to you or Peter can talk about that. But the M&A activity in the pipeline is huge, I think we'll see lots of deals hit in the second half. But it's almost daily now when Tony Ursano is telling me we've picked up this and we picked up this and we're getting a retainer on that and there's just a lot of things going on. Now I don't know what that tells you other than the fact that I guess insurance companies are looking at the future and saying, "How could we consolidate and sure up our businesses?" 
Steven Hearn: And I think, if may add, Joe. I think your thesis right. I mean, if we take a longer-term view in terms of consolidation in that area, there've to be more transactions and that we have close connection between our reinsurance business and our insurance businesses as well as the capital markets business. There should be an increase in, and as Joe says, robust pipeline for Willis Capital Markets, no question. 
Operator: Next question comes from Iardella, Macquarie. 
Raymond Iardella: A couple of quick questions, first of all maybe for Vic, and you talked about the pipeline a lot more recently. But maybe talk about the conversion rates that you're seeing there, is that something that's getting better, has it been pretty steady as the pipeline grows? 
Victor Krauze: I would say that the conversion rates still need to improve in my mind, we've been tracking them. The first thing we needed to do is fill the pipelines, get to a point where we had something to measure and track. And as we go forward, I would expect them to improve. 
Raymond Iardella: Okay, that's helpful. And then maybe for Mike. Any impact going forward in terms of FX if the exchange rate stay where they are? 
Michael Neborak: Not significant. 
Raymond Iardella: Okay. And then I guess last one for Joe, maybe the hot topic sort of with July coming sooner and sooner everyday. I mean, is there something in the company's bylaws that would sort of prohibit them from maybe offering you another contract or extending the contract for another year? 
Joseph Plumeri: No, there's nothing in the company's bylines -- bylaws, excuse me, that have to do with age or ethnic consideration. There's nothing that says you can't hire an old Italian American. 
Raymond Iardella: And so if the board would ask you to stay on for an extra period of time, how would you respond to that? 
Joseph Plumeri: There's nothing to -- I'll respond to it by saying there's nothing in the bylines that prohibit that. 
Operator: Our last question comes from Mark Hughes, SunTrust. 
Mark Hughes: Did have you said any uptick in Employee Benefits post the Supreme Court decision? 
Joseph Plumeri: No. I mean, I'll let Vic answer that, but I don't think so. 
Victor Krauze: I don't think we signed any uptick in Employee Benefits due to that. We still feel very bullish about that line of business. We're investing in that business because I think if you have the resources and the specialties in place, volatility gives you an opportunity to distinguish yourself, and that's why we're looking at it. 
Joseph Plumeri: All right. Our business, you got to understand, Mark, is a middle market business in the United States and the middle market is whether Obamacare stays in, stays out, whatever, these people have lots of issues one way or the other with regard to how they're going to take the dollar they have and be able to use it on a maximum basis. And our platform, which is called Total Rewards, allows people to make decisions based upon how much they have to spend on a voluntary basis against the backdrop of each employee. That's why we're so bullish about our Employee Benefits business or what we call human capital, because it does just that. 
Operator: I show no further questions. 
Joseph Plumeri: Okay, thanks a lot everybody. Have a great day. Appreciate the questions. Thank you. 
Operator: This concludes today's conference call. Thank you for your participating. You may disconnect at this time.